Operator: Good morning. My name is Cayce, and I will be your conference operator today. At this time, I would like to welcome everyone to the WWE First Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. (Operator Instructions). I would now like to turn the call over to your host Mr. Michael Weitz, Senior Vice President of Investor Relations. Sir, you may begin your conference.
Michael Weitz: Thank you and good morning, everyone. Welcome to World Wrestling Entertainment's 2009 first quarter 2010 earnings conference call. Joining me for today's discussion are Vince McMahon, our Chairman and CEO; Donna Goldsmith, our COO; and George Barrios, our CFO. We issued our earnings releases earlier this morning and will be referencing a presentation as part of our discussion. These are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management's estimates. Actual results may differ due to numerous factors, which are referenced on page one of the presentation. These risks and uncertainties are discussed in more detail in our filings with the SEC. Reconciliations for non-GAAP financial information discussed on this call can be found in our earnings release or on our website. Today, we will review our financial results for the first quarter and we will follow this review with a Q&A session. At this time, it is my privilege to turn the call over to Vince.
Vince McMahon: Good morning, everyone. I think the most important thing to realize, the most important thing that would be proud of here at WWE is that we achieved our highest profit EBITDA margin of in recent history which is 24%, not bad. Now withstanding that as far as this quarter is concerned, we consider WrestleMania, we had $13 million in profit, which is okay and for WrestleMania is down about 12% from last year which I think is more due to more of a communal viewing habit much like Super Bowl parties and addiction to that I guess maybe the bottom line is, as far as the attraction is concerned, maybe it wasn't exactly what everyone wanted to see. None the less the brand remains very, very strong and its profit contribution is very strong as well. One of the things I'd like to make mention of today is out television platform, especially on the SmackDown. RAW has been a staple of WWE for many, many years not just here in North America with the U.S.A network but quite frankly it's been our lead program all over the globe. Now SmackDown, we just secured a multi year deal with the Sci-Fi network, also one of the NBCU umbrella as is Monday Night RAW's network. So the two of them together are going to be very, very complimentary on the same NBCU platforms. The cross promotion will be extraordinary. And again likewise, SmackDown, moving from a MyNet broadcast situation into a very secure and non preemptive time. Friday night at 8'o Clock eastern is very, very big for us because we're going to drive a lot of our overall revenues, not just SmackDown specifically and I think that in time SmackDown hopefully would have the same contributions in Monday Night RAW given its consistency and in fact we're on a very strong cable platform of Sci-Fi and the cross promotion of U.S.A again, both owned by the NBCU conglomer. Internationally it remains strong for us. Revenue was up about 19% if you exclude live event touring, specifically down in Latin America which has been very strong, Mexico specifically very, very strong for us in terms of live attendance and per pay view, which is not about, I think its close. It's our second largest count contributor. Maybe it's just a little bit before, ahead or behind United Kingdom. I'm not sure. Other than that, another really key point is the very strong launch of our of our toys with Mattel. This quarter you will see some mixed numbers with Mattel and our former distributor JAKKS very, very strong. We're very happy about how that kick off has been with [Michelle]. And again we look forward to achieving our same financial objectives of growth over anywhere from 15% to 20% over a longer period of time. And now I'll turn it over to George.
George Barrios: Thanks Vince. I'd like to start by providing you with some additional perspective on our first quarter results. For the quarter we reported a 39% increase in revenue to $138.7 million --
Vince McMahon: Hang on. I said the launch of Michelle. It's Mattel, not Michelle. It's below too early for me. I'm sorry George, go ahead.
George Barrios: …and more than doubled our operating income to $37.3 million. However several items impacted the comparability of our results on a year-over-year basis. We've included the timing of WrestleMania, the receipt of certain tax credits related to our television production activity and a one time restructuring charge in the quarter last year. As a reminder, WrestleMania occurred in the first quarter of this year compared to the second quarter last year. The event contributed $28.8 million of revenues and $13.1 million of profit contribution, $8.8 million net of tax to our results for the first quarter of 2010. In addition, we recognized $4.2 million of Connecticut State tax credit related to our investment in television production in prior period and a result, reduced depreciation expense by about $1.6 million. Finally our first quarter result last year included a $2.2 million restructuring charge associated with a 10% reduction in headcount that occurred in January 2009. Excluding this items, adjusted operating income increased 20% to $22.6 million while revenue increased 2%. Similarly on an adjusted basis net income rose 25% to $14.7 million. Favorable changes in foreign exchange rates increased revenue by approximately $2.1 million in the quarter but had a negligible impact on profit. Accordingly, changes in FX rates have not been backed out in our calculation of adjusted financial results. Our first quarter performance demonstrates our continued commitment to manage our costs and run the business in a smart efficient way. We managed a 10% reduction in adjusted SG&A expenses. As a result adjusted EBITDA increased 14% to $26.1 million and the company achieved a profit margin based on adjusted EBITDA of 24%, representing the highest margin our recent history. To clarify the trends in our business I'll discuss our performance on an adjusted basis excluding the one time item that I have just described. For a more detailed review of our performance in the quarter, let's turn to page five of our presentation which lists the revenue and profit contribution by business unit as compared to the prior year quarter. Starting with our live events including merchandise sales at these events, revenue increased 7% on an adjusted basis. This was driven by higher average attendance at both our North American and International events. Excluding WrestleMania, average attendance at our North American event increased 20% to 7,300. This growth was partially offset by a 3% decline in average ticket prices of $32.47. Additionally, changes in our touring schedule resulted in 13 fewer events in the quarter. Revenues from outside North America reflected a strong live event tour in Latin America which attracted an average of 11,300 fans. This represented a 22% increase from the comparable four event tour in the first quarter last year. Turning to our pay-per-view business revenue was essentially flat for the prior year as growth from the comparable events in the quarter was offset by lower revenue from prior period buys. Revenue generated by Royal Rumble and Elimination Chamber increased 13% reflecting a 3% increase in buys and a $5 price increase that was implemented at the start of this year. During the quarter we made significant progress in developing the pay-per-view market in Mexico which became our second largest international pay-per-view market behind the U.K. WrestleMania 26 generated $19 million in pay-per-view revenue based on approximately 885,000 buys in the quarter. Overall the event generated over $13 million in profit contribution for the second consecutive year and demonstrates our focus in maintaining WrestleMania as our most entertaining and most profitable pay-per-view event. Revenues from the distribution of our television programming increased by 18% or $4.5 million reflecting the fees from the addition of our new program, WWE Superstars and contractual increases inherent in our global TV distribution agreements. During the quarter we announced a new multi year television distribution agreement that will transition our SmackDown program to Sci-Fi, a network of NBC Universal. Based on the terms of the deal, significant cross platform promotional opportunities and our expanded relationship with the NBC Universal family, we view this as a very positive development for WWE. In our consumer product segment, our licensing revenue remain relatively flat over the prior year quarter. Increased sales of toys and novelties were offset by lower video game sales. Revenues from toys increased 16% over the prior year, in part due to the strength of our new partnership with Mattel and the successful launch of our new toy product line. Revenues for video games however decreased 8%, reflecting a 12% decline in shipments to $3.9 million units During the quarter, video game shipment associated with newer game platform such as the XBOX 360 and the PS3 were not sufficient was a decline on more established platform. Notably, our long-term plan assumes an expansion of revenue from video games at the rise of the introduction of several new product extensions. For example, this includes a multi-player online game that will be launched in South Korea in China later this year. Our home video revenue decreased 17% o $1.6 million reflecting declines in unit shipment, lower sales rate and the reduction in effective prices. Specifically, unit shipment declined 11% to 813,000 units in the quarter while the average effective price sold $6 to $13.75 reflecting the impact of ongoing discount and promotional activity. For the remainder of the year, we expect to realize year-over-year growth in this segment with an increased Blu-ray releases and strong titles. In our magazine publishing business, revenue decreased 19% to $2.8 million primarily due to lower circulation. Sales rates for WWE magazine fell to 29% versus 32% in the prior segment. And in our digital media segment, revenue declined 12% or $0.8 million at $6.1 million from the prior year, lead by the expiration of a key wireless contract and lower sales on online advertising. Revenue from e-commerce was flat year-over-year; a 3% increase in the number of orders to approximately 62,000 was offset by a comparable decline in average sales per order to approximately $48. During the quarter, WWE Studios recognized revenue of $3.4 million, compared to $3.7 million in the prior year with revenue of both periods primarily from our feature films, the Marine and the Condemned. Earlier last year, we released our fourth feature film, 12 Rounds that is Direct-to-DVD films, The Marine 2. We do not participate in revenues generated by these films until their distribution costs are recouped by our partners; as such we've not recorded revenues for either 12 Rounds or The Marine 2. As of the quarter end, we had approximately $43.2 million in capitalized film production cost on our balance sheet, associated with 12 Rounds, our Direct-to-Video releases, and the initial films that are being produced under our new distribution model. The first project to be distributed under this new model is expected to be released in the third quarter of 2010. Our overall profit contribution increased slightly as the expansion of TV rights speed in the strong performance of our live events was offset by the decline from home video. Gross profit margins remained essentially flat at 47%, compared to the first quarter of last year. Improved margins in our live and televised segment were facilitated by sustained cost reduction in marketing in TV production. These factors however were offset by lower consumer product margins, semi primarily from lower average prices and increase returns in our home video business. For the quarter, adjusted SG&A expenses decreased 10% to $25.8 reflecting declines in legal and professional fees as well as the reduction in bad debt expense. Page 14 of our presentation compares the quarter-over-quarter results and provides a summary of changes by business. As shown adjusted operating income increased 20% to $22.6 million driven the reduction in SG&A expense. Similarly, adjusted net income is referenced on page 18, increased 25% to $14.7 million reflecting both the increase in operating income, and the reduction in our effective tax rate to 33%, as compared to 35% in the prior year quarter. Page 15 of the presentation contains our balance sheet which remained strong. On March 31st we held almost $250 million in cash and investment with virtually no debt. Page 19 shows our free cash flow. For the quarter, we generated approximately $38 million of free cash flow, compared to about $46 million in the prior year quarter. The decrease was driven by the timing of WrestleMania, film investments and changes in working capital including changes in the Company's tax position. Capital expenditures for the current quarter included a infrastructure tax credit of $4.2 million as a result net capital received a $0.4 million in the quarter, compared favorably to the $1.5 million in capital spending in the first quarter of last year. Looking ahead, our objective continues to be to manage the Company efficiently while capitalizing our growth opportunities. We remain focused on maintaining our operating efficiency, leveraging our partnership, including our deeper relation with NBC Universal and continuing to create original compelling concepts. Understanding these factors, we'd posted our confidence that we can achieve meaningful earnings growth o 15% to 20% over the 2009-2012 period consistently with our previously announced business outlook. That concludes this portion of our call, and up now I'll turn it back to Michael. 
Michael Weitz: Thank you, George. Cayce, we're ready now. Please open the line for questions. 
Operator: (Operator Instructions). Your first question comes from the line of Richard Ingrassia.
Richard Ingrassia - Roth Capital: Vince, you mentioned maybe WrestleMania 26 might have not been exactly what fans were looking for. Can you talk about any thinking so far maybe on what can be done? What options you have to make WrestleMania 27 hit the mark?
Vince McMahon: Generally speaking always looking to attraction is the reason why something is successful or not. That's not always the answer. I think last year one of the things that helped us I suppose the 25th Anniversary, I think WrestleMania serving a nostalgic kind of point of view. And again it's like anything else in the content business sometimes, you're right on sometimes you're not. This was again a substantial contributor to profit at the same time, and not exactly what we wanted. So, it's in the content business is one or which you're successful most of the time. I'm not saying this is a failure, but nonetheless it didn't measure what we had hoped in terms of budget and not all that capable to the last year as I mentioned bought down about 12%, so again it was a good attraction. It wasn't a great attraction and sometimes you just don't give them great attractions all the time. It's a creative process, and that process we're in. 
Richard Ingrassia - Roth Capital : And then excluding WrestleMania average live of entertainment was very strong. I think it was strong there too, but there does appears to be some weakness at least in the year-to-year comparisons on sales ancillary to the events. I mean if we assume the same kind of economic paying to consumer level this year. Is this the pattern that we can expect the fans will spend their WWE budget if you will on events and maybe show more discretion towards, merchandize, magazine, video games better?
Vince McMahon: Part of this is probably due to the economy. I don't know more than anything else. I think with the economy improves so to all our ancillaries. I don't know if it's a direct result, but I it really does reflect the economy more than anything else. 
Richard Ingrassia - Roth Capital: Okay, and then just maybe a question for George in the SG&A cuts went even deeper hit than expected I think, is this is a reliable quarterly run rate for 2010 now, or do you expect that to maybe inch up a bit this year?
George Barrios: Yes. It will inch up a bit. I think we've talked about the annual run rate of around $30 million for SG&A, and I think that's probably a fair target. As I mentioned before, one of the big benefits year-over-year was legal expenses and those are things that are tough to time. So I think it's unusually low. I feel good about the fact that all the other areas we were able to manage but I think the guidance that we've given on SG&A expenses probably are a better target
Operator: And your next question comes from the line of Michael Kupinski.
Michael Kupinski - Noble Financial Group: I just want to drill a little bit more on the WrestleMania results. How much do you think the economy had to do with the weaker WrestleMania? I know that's a difficult question but obviously the Phoenix market and so forth was a pretty tough market. Do you think that the venue itself, I just kind of want to drill to determine what the economy might have played there?
Vince: Well contrary to the economy, Phoenix in that whole general area is very, very strong for us. We had over 70,000 fans. Obviously a lot of that comes from other parts of the country (inaudible) 7th but we thought Phoenix as a region really outperforms certainly our anticipation as it relates to the economy, which speaks strong to the attraction. Everyone there was so cooperative in terms of pulling all of this together with everything that we did. All of the efficiencies were there. Again I think that everyone who had anything at all to do with the Phoenix operation should be quite frankly applauded.
McMahon: Well contrary to the economy, Phoenix in that whole general area is very, very strong for us. We had over 70,000 fans. Obviously a lot of that comes from other parts of the country (inaudible) 7th but we thought Phoenix as a region really outperforms certainly our anticipation as it relates to the economy, which speaks strong to the attraction. Everyone there was so cooperative in terms of pulling all of this together with everything that we did. All of the efficiencies were there. Again I think that everyone who had anything at all to do with the Phoenix operation should be quite frankly applauded.
Michael Kupinski - Noble Financial Group: And just to follow up on Richard's question too on the domestic ticket prices, do you have some thoughts on the ticket prices heading into the second quarter. Do you believe that the weakness that we saw there is related to the economy or do you think it might be related to our talent in our story lines there as well?
Vince: I think it's always a combination of things. I don't want to use the economy as a excuse to everything like everybody does. One of my performers, many, many years ago, his name was Bobo Brazil did not believe in excuses and the only book of revenue that we had at the time was live events, long before anything else and whenever the house did not do well, all the members of the locker room would complain and come up with excuses and Bobo Brazil said, the only reason we didn't draw lines because of the all night gas station, where back in those days it something that didn't exist. So there is no excuse. It's not just the economy. It's the mix of everything that we have. We're strong and we're not so pose about the moment and that's what we always try.
McMahon: I think it's always a combination of things. I don't want to use the economy as a excuse to everything like everybody does. One of my performers, many, many years ago, his name was Bobo Brazil did not believe in excuses and the only book of revenue that we had at the time was live events, long before anything else and whenever the house did not do well, all the members of the locker room would complain and come up with excuses and Bobo Brazil said, the only reason we didn't draw lines because of the all night gas station, where back in those days it something that didn't exist. So there is no excuse. It's not just the economy. It's the mix of everything that we have. We're strong and we're not so pose about the moment and that's what we always try.
Michael Kupinski - Noble Financial Group: And in terms of the tax rate going forward, any thoughts on that?
George Barrios: Yeah, we had a unusually low in the quarter, about 33% because of some section 99 benefits. For the year I think the 34 to 35 is a good crossing.
Operator: And your next question comes from the line of Marla Backer.
Marla Backer - Hudson Square Research: I was wondering if you have any sense for repeat traffic that you get year-in, year-out from amongst your fans at WrestleMania. Do you have a sense that some 20% or 35% of the people who attend, try to attend on annual basis?
Donna Goldsmith: I don't think, Marla, its Donna Goldsmith, that we have a specific percentage to give you but what I can tell you is that we have a program called Travel Packages where we offer a complete program for the whole weekend and room and board and to our fans all over the world. As Vince was mentioning, they come from all over the world. And we have repeat customers, repeat fans that come year-over-year from Australia, from New Zealand, from the United Kingdom and we entertain them all weekend. We also pick their brains and use them as research on our products and our events as well. But we do know that they come year-over-year and then there is for sure a group of fans that come from all over the United States as well. But I couldn't tell you that we could give you the exact number on those. But we are pretty sure that there are often our fans that come year-over-year.
Vince: Having said that, it's important for us to bring new fans into our viewer ship and using WB is very, very important and not just repeat fans.
McMahon: Having said that, it's important for us to bring new fans into our viewer ship and using WB is very, very important and not just repeat fans.
Marla Backer - Hudson Square Research: No, I agree. But I guess also, having the repeat fans would give you some, as you've just indicated some insight into what it is they're looking for. But I'm also wondering, do you, in the past when you've had some declines in live event attendance, one solution that you very successfully implemented was to reduce the number of live events so that it was more special each time you went to a particular market. Do you have a sense that potential or possibly there is any WrestleMania fatigue here that we're seeing in this years results?
Vince: First on the first point Marla. I think there has been a fairly consistent trend of increasing the number of live events. So just to be clear on that. As far as the pay-per-view specifically, we've reduced this year, one of the pay-per-view's versus last year which we'll see in the second quarter. Last year we had five pay-per-views in the quarter because of the timing of WrestleMania. This year we'll have three because of that as well as eliminating one of June pay-per-view. So we only have one in June this year as opposed to two last year. But we're always looking at those things and making sure we're providing a great attraction and valley for that.
McMahon: First on the first point Marla. I think there has been a fairly consistent trend of increasing the number of live events. So just to be clear on that. As far as the pay-per-view specifically, we've reduced this year, one of the pay-per-view's versus last year which we'll see in the second quarter. Last year we had five pay-per-views in the quarter because of the timing of WrestleMania. This year we'll have three because of that as well as eliminating one of June pay-per-view. So we only have one in June this year as opposed to two last year. But we're always looking at those things and making sure we're providing a great attraction and valley for that.
Donna Goldsmith: And we also look at the mix Marla. We'll look at where we went the year before and compare that to the year before then and should we be going to New York twice a year or three times a year, same thing for Chicago. And we make a conscious effort of making sure that the mix is right as well as the ticket prices and as has been said before, of course the content.
Marla Backer - Hudson Square Research: That makes a lot of sense. And then I had a question about WWE studios. Can you give us a little bit more color on the project, the timing of it and if you're getting any sense for tracking. I'm sure really premature on tracking but if you've shown it to any focus groups and any color you have?
Donna Goldsmith: Its Donna again Marla. Well first of all, let me give you some insight as to what our first three movies under this new model are going to be. Our first movie is going to come out as I think George mentioned in the third quarter. Its going to be September 10th the movie is called Legendary. And it's starring John Cena, our superstar as well as Patricia Clarkson and Danny Glover.
Marla Backer - Hudson Square Research: Is that the one that had been Brothers Keeper? What that what it was called?
Donna Goldsmith: That's right. That was working title. It's going to be called Legendary and that will be coming out in the movies as I said September 10th and through our new model we are going to consolidate the windows. Then it will be followed by DVD in a shorter than it's typically done in the industry. After that and by the way that is going to be a global day and date DVD release. So we are right now selling it into not only two domestic theaters and Vivendi will handle the DVD distribution but we are also going to Con next week where we will be selling it internationally as well. From there, our movie, our second movie is a movie called Knucklehead and its starting Big Show.
Vince: Its comedy.
McMahon: Its comedy.
Donna Goldsmith: It's a comedy as Vince said. It's very different than the first movie which is more of a drama and coming of age story. The second movie is Knucklehead. It's a comedy staring Big Show and Melora Hardin and Mark Feuerstein from Royal Pains on U.S.A network and that movie comes out October 24 and then after that we'll be going into the 2011 year and our working title of our first movie Big G and that is again it's just a working title and that is going to be starring Ed Harris and Amy Madigan as well as Randy Orton has an appearance in there, our superstar Randy Orton. And again just to remind you that these aren't theatricals, they are going to be promoted on all of our vehicles from television to digital to magazines and we are working with Goldwyn to get the movies out into the theatre again followed by the DVD and the Video-on-Demand and the pay television as well as ultimately on free TV, again as a global release. 
Marla Backer - Hudson Square Research: And sounds very interesting you are partnership with Vivendi, are you seeing increased I think one of the strategy you've talked about was trying to increase the amount of revenue you get from the rental market. Are you seeing that happened yet?
Donna Goldsmith: It's relative to the WWE side. We're just pursuing things like Redbox, and looking into because the rental market in general is down. So we're going after it in a bigger way on our business because we haven't been big in the rental business WWE that is up to this point. As far as movies go, we're just going to have conversation with retailers who are -- they are bullish about these movies. They are excited about them, not only do they feature our superstars, but they feature big time celebrity name and so, and the other thing I wanted to backup for a second Marla, you did ask it if we've researched these movies yet. We have put them in front of various research groups, not WWE fans per say. We've gone out there, and talk to moviegoers and moms and kids and all generations are enjoying the movies. For the first three movies that we have put in front of them, we're getting some good responses, and when they respond that maybe that portion there is not. They are bullish about we go in and we can make some changes in our movies certainly at the back end for the releases that are out at a later date. So I wanted to answer your question on the research as well. 
Vince McMahon: And one thing Donna, like we understood the cost of these problems. 
Donna Goldsmith: Yes. And the most important or one of the most important things is that you'll remember or when we work with Lionsgate and with Fox, we were looking at $20 million production. These films in the end after tax credit that was about $5 million. So the model not only is changing it up from the way we do business in movie to DVD to the other outlooks, but it's also changing it up in the cost and the production cost themselves. But the production value as you will see when you see these movies is really good and very strong. 
Marla Backer - Hudson Square Research: And even with that decline in negative you're still looking to get recognizable talent like Amy Madigan and Ed Harris and Patricia Clarkson. 
Donna Goldsmith : We have a wonderful team working on the West coast for us. Mike Pavone is our Executive Producer of these movies, and he is out there and not only does he know a lot of people. He is real good, and he is able to get them into this good movies because they are just that. They are good movies, they are good content, and these people have all walked away saying they have adored working with us and with Mike Pavone and call us back at the future. And you're right they are not huge dollars that are going out there. 
Operator: And your next question comes from the line of Luke Shagets.
Luke Shagets - Sterne, Agee & Leach: Can you talk a little more about the video game license and you mentioned longer term you expect some growth here. Do you expect that to be driven from the benefits of the drug agreement with THQ or better sell through the SmackDown or the ancillary title that you mentioned such as the online game in Asia?
Donna Goldsmith: I think Luke it's a combination of a few of those things. As George mentioned this quarter, there was some decrease sale on SmackDown versus RAW as compared to the prior year, and some of that has to do with the fact that the older console the PS2, the PSP the Nintendo DS are selling at low prices and of course their catalog at this point, and the newer gain platforms were just not there yet. We need to catch up on the newer platform, but for the future we feel real good about it because of those things George was mentioning, we have an online game. We're looking at all different ways to increase the revenue from downloadable content to social networking games to iPhone games, all these things are in the work as well as brand extensions, additional games. The other thing I want to mention that you mentioned Luke is that we do have a new deal with THQ. It is long-term deal. It allows us all to refocus because obviously in the past that was difficult when we were in litigation. Now everything is settled and we move forward, and it's a richer deal for us from the royalty standpoint. So, I feel real good. We feel real good about what the future holds for THQ and they were in here recently. And we were talking about the future and lots of new step on the horizon. 
George Barrios: In fact in THQ's earnings call, Brian Farrell mentioned that E3 the Electronics Entertainment that's about -- They'll be announcing a new brand again for WWE when you talk about our category. So, look for that because we're real excited about it. 
Luke Shagets - Sterne, Agee & Leach: And then real quick on; could you just give us any sort of direction on CapEx and free cash in 2010 relative to 2009? George Barrios Yes. For the rest of the year $8 million to $10 million for the remainder of the year is a good number. 
Luke Shagets - Sterne, Agee & Leach: Okay, and then in terms of cash flow, would you expect it to be up or down relative to 2009?
George Barrios: Well, we don't give guidance on free cash. So, what we've talked about is what the -- what our 15% to 20% long-term earnings growth over three year period. We talked about the CapEx guidance. We talked about our film spend been somewhere around $20 million to $25 million this year. I gave you the effective tax rate, so you will have to make your own estimate. We don't give specific guidance on free cash flow. 
Operator: (Operator Instructions). Your next question comes from the line of Jamie Clement.
Jamie Clement - Sidoti & Company: Two questions; one is over the last two quarters I think five of our seven pay-per-view events, you've actually seen increases in the number of buys, and the remaining too there was another major pay-per-view player that had an event the night before. I don't know if that something that you guys think of has impacted the two out of seven that have been done, but can you schedule this going forward, so that you don't run into kind of the same problem, and do you think that's had an impact on your buzz?
Vince McMahon: We're not sure it has or not. Again, you talked about roughly different audiences completed. The UFC audience, I guess what you made referenced to and that's more of a boxing audience than it is a entertainment type of thing like we are. None of us, we don't see there has been some of that the night before in going forward from the scheduling standpoint. We certainly can't control that, but from the scheduling standpoint, we don't see any at the moment night before pay-per-view with any substantial pay-per-view provider. 
Jamie Clement - Sidoti & Company: And it's just changing gears a little bit. You've mentioned doing some work evaluating whether a WWE Cable Network is something that would be feasible and beneficial to you all. Is there any update on your thinking on that subject?
Vince McMahon: The update what I'm thinking is the model is pretty much written out. We're in the process now of knocking on doors and determining what that receptive nature of the cable providers are at the moment. So, we're still pursuing that stronger than ever quite frankly Jamie. 
Michael Weitz: Cayce, are there any more questions? 
Operator: There are no questions in queue at this time. 
Michael Weitz: Thank you everyone. 
Vince McMahon: Thank you guys.
Michael Weitz: We appreciate you listening to the call today. If you have any further questions, please do not hesitate to contact me, Michael Weitz at 203-325-8642. Thank you.